Operator: Ladies and gentlemen, thank you for standing by, and welcome to the WiseTech Global Limited First Half '22 Results. [Operator Instructions] I would now like to hand the conference over to Mr. Richard White, CEO and Founder. Please go ahead.
Richard White: Good morning, everyone, and thank you for joining us today for our first half FY '22 results briefing. We announced today that we delivered first half '22 total revenue of $281 million, representing an 18% increase on the first half '21. Excluding FX impact, total revenue was up 22%. 93% of our total revenue was recurring revenue, up two percentage points on the prior corresponding period providing us with a stable and predictable long-term revenue stream. Our CargoWise revenue grew by 33%, excluding FX movements in the first half of '22. This growth is strategically important because it demonstrates the increasing revenue contribution that our large global freight forwarders rollouts deliver, as well as our ability to attract new customers and increased usage by our existing customers as we expand the CargoWise ecosystem. The remainder of our revenue growth was generated by our acquired non-CargoWise businesses, which delivered 2% revenue growth, excluding FX movements. This brings us to EBITDA, which was up 54% in the first half '22 versus first half '21 at $137.7 million. In the first half of '22, our organization-wide efficiency program, coupled with the ongoing extraction of synergies from our acquired businesses, delivered $19.7 million of net cost reductions, enabling us to continue to achieve operating leverage as our revenue has grown. Our underlying NPAT for the first half was up 77% at $77.3 million, and our free cash flow of $90.3 million was up 85% on the prior year, a testament to our high-quality earnings. In recognition of the continued strength of WiseTech's business, the Board has declared a fully franked interim dividend of $0.0475 per share, up 76% on the first half '21, representing a payout ratio of 20% of underlying NPAT. Our performance in this half should be looked at in the context of the broader market conditions we are operating in. Ongoing COVID restrictions in the second half of calendar 2021 continue to drive consumer demand for goods run services. While there's boosted demand for global trade during the year, there was also well-publicized disruptions in the form of capacity constraints, port congestion and labor shortages, all of which contributed to higher freight rates. As I explained at the full year results last year, these higher rates did not translate into immediate revenue growth for WiseTech. We do, however, benefit from the acceleration of the long-term structural changes that these conditions drive. Constraint capacity and congestion mean that logistics providers are investing in accelerating their digital transformation. They are increasingly replacing in-house legacy systems with integrated global software that delivers efficiencies and facilitates planning and trial of their global operations, which is what CargoWise delivers. These conditions are also driving increased consolidation, which you can see with global freight forwarders, such as DHL, DSP, CEVA Logistics and Kuehne + Nagel having embarked on acquisitions over the past two years. This consolidation activity intensified in the second half of calendar 2021 and is expected to continue in 2022. From WiseTech's perspective, consolidation benefits us where our customers are acquires or our platform is already in use in the acquired business and adopted by the acquirer, complementing and enhancing our growth strategy. I'm pleased to report that in the first half '22, we achieved a number of strategic milestones. We signed a new CargoWise global rollouts with FedEx and Access World, and secured Brink's Global Services post 31st of December 2021. We now have 40 CargoWise global rollouts, including 10 of the top 25 global freight forwarders that have been rolled out or have global rollouts in progress. These global rollouts are significant in terms of market penetration and also from a future revenue growth perspective. Our ability to secure new global customers is driven by the appeal of our CargoWise offering and our ongoing product development and enhancement. In the first half, we invested $83.9 million in R&D, delivered 589 new CargoWise product features and enhancements. We also completed two small tuck-in acquisitions that expand our CargoWise enterprise-wide functionalities. Our increased market penetration and product development drives our top line revenue growth, which, coupled with the delivery of our organization-wide acquisition efficiency and synergy program, enable us to continue to achieve operating leverage, enhancing our profitability and setting us up to deliver ongoing attractive shareholder returns in the years ahead. I will now hand over to Andrew to take you through our financial performance before reverting back to me to talk in greater detail about our strategic progress and outlook.
Andrew Cartledge: Thank you, Richard, and good morning, everyone. Starting with an overview of our financial performance. As Richard noted, our first half '22 total revenue was $281 million, representing growth of 18% on first half '21, including $9.2 million of foreign exchange headwinds in the six months versus a $3.6 million foreign exchange headwind in the first half last year. Excluding FX headwinds, first half '22 total revenue increased by $51.6 million, representing 22% growth. Our strategically key CargoWise revenue continued its strong growth momentum, delivering first half '22 revenue of $193 million, up 33% on first half '21 excluding FX headwinds, and up 29% including FX. Non-CargoWise revenue from acquisitions of $87.9 million was down 1% on first half '21. As we've explained before, the acquired businesses typically have higher onetime license and/or support services revenue. As a result, as they transition to the WiseTech commercial model, their revenues may be flat or reduced compared with prior periods. Gross profit for the year was up 19% on first half '21, reflecting a one percentage point improvement in our gross profit margin to 86% versus first half '21. EBITDA in first half '22 was $137.7 million, up 54% on first half '21, a strong performance reflecting our continued revenue growth and the benefits of our organization-wide efficiency program to drive operational efficiencies and acquisition synergies across the business. This efficiency program, which Richard will provide more color on later, delivered a net cost reduction of $19.7 million for the half year. Our EBITDA margin for the half was 49%, up 12 percentage points on first half '21, driven by revenue growth and the benefits of our efficiency program. I'll pause here to make the point that as we further progress our efficiency and acquisition synergy program, including aligning the acquisition product and development teams and support functions to our core CargoWise teams and central functions. Margin splits for CargoWise and acquired businesses will become less meaningful. Therefore, we'll focus on reporting overall WiseTech margins going forward. Moving down the table, you'll see that our EBIT was up 75% on first half '21, reflecting our strong operating performance. Our depreciation and amortization charges increased by 8%, reflecting our continued investment in commercializable R&D to expand the CargoWise ecosystem and drive future growth. This brings us to our statutory net profit after tax for the year, which is up 74% on first half '21 at $77.4 million, demonstrating the ability of our business model to deliver both revenue growth and margin expansion. Excluding minor fair value adjustments from changes to acquisition contingent consideration, our first half '22 underlying NPAT increased 77% to $77.3 million and underlying earnings per share increased by 77% to $0.237 per share. Moving on to our next slide, you can see that excluding $9.2 million of FX headwinds, we delivered $51.6 million of total revenue growth, up 22% on first half '21. And looking at our total revenue growth, it's important to distinguish between recurring and nonrecurring revenue. As you know, recurring revenue is the backbone of SaaS and subscription-based companies such as WiseTech. Recurring revenue is indicative of customers using our product on a consistent basis, giving us the ability to project future revenues more accurately. Nonrecurring revenue, on the other hand, grows less quickly and can include one-off license revenue and customer paid technology announcements. You will see our recurring and nonrecurring revenue growth in the left side graph on this slide. We delivered $52.3 million of recurring revenue growth to $262.1 million in first half '22, representing a 24% increase on first half '21. This growth was mainly driven by increased CargoWise usage as our large global freight forwarder customers expanded their rollout on the platform, growth from new customers, high usage from existing customers as well as a price change implemented in first half '21 to partially offset increased product investment in R&D, data centers and cybersecurity. As expected, our nonrecurring revenue contracted by $0.7 million to $18.8 million in first half '22. This represented a 4% decline on the nonrecurring revenue we reported in first half '21, reflecting a reduction in revenue from FY '20 and prior acquisitions. Let's now take a closer look at our CargoWise revenue growth in the graph on the right. You can see in this graph that CargoWise generated an impressive result with $49.9 million of revenue growth excluding FX to $193 million in first half '22. Of the first half '22 CargoWise revenue growth, $37.3 million was attributable to existing CargoWise customers, up from $18.5 million in first half '21, reflecting increased usage through the addition of transactions, seats and new sites, the utilization of additional products and modules and growth from industry consolidation. Importantly, all existing CargoWise customer cohorts from FY '06 and prior through to first half '22 delivered revenue growth, and CargoWise customer attrition continued to be extremely low at less than 1%. This is in line with our long-standing track record and demonstrates the stickiness of our CargoWise customers, underscoring the significant long-term value generated from each of our CargoWise customers under our SaaS model. $12.5 million of CargoWise revenue growth in first half '22 was attributable to new customers and is indicative of the strong opportunity pipeline we have. In particular, with larger global freight forward as they roll out on our platform. New customer growth also includes $0.7 million benefit from 2 small tuck-in acquisitions completed in first half '22, which have been integrated into the CargoWise ecosystem. These growth numbers were partially offset by a $6.8 million FX headwind in first half '22 compared to a $1.4 million FX headwind in first half '21. Included in our first half '22 CargoWise revenue growth is the benefit of increased usage, as well as an approximate $11 million price change, which we implemented in the first half '21 across existing and new customers offsetting the increased investment in product innovation, data center hardware and cybersecurity. Non-CargoWise revenue from acquisitions decreased by $0.7 million in first half '22. This comprised a $1.5 million increase in revenue from acquisitions completed in FY '20 and prior years, and a $0.2 million contribution from one acquisition completed in FY '21, offset by $2.4 million of FX headwind in the first half '22. As explained previously, we expected a decline in acquisition revenue as acquisitions transition to the WiseTech commercial model and we focus our development teams on CargoWise product innovation. Excluding the $2.4 million FX headwind, acquisition revenue grew by 2%. We're looking forward to updating you in more detail on the relative contributions of our long-term revenue growth drivers at our FY '22 results. This brings us to our operating expenses. You can see on this Slide 3 graphs charting our operating expenses since first half '20 across three areas: product design and development, sales and marketing and general and administration. Overall, our operating expenses were down 11 points as a percentage of revenue on first half '21, reflecting our increased operating leverage as a result of revenue growth and the cost reduction benefits of our efficiency program. In terms of product design and development expenses, you can see our continued commitment year-on-year in R&D to drive innovation and improvements across the CargoWise ecosystem. Our first half '22 product design and development expense increased by $0.4 million to $45.2 million for the half year. This reflects an increased focus on innovation and development of the CargoWise platform, whilst the investment in acquired platforms was down in line with our stated commitments to expand the CargoWise ecosystem. As a result of our revenue growth and the further alignment of our acquired teams in our more efficient CargoWise development process, overall, product design and development investment was down three points as a percentage of revenue to 16% versus half '21. To provide some context on product design and development expense. Approximately 47% of this expense is related to supporting the maintenance of acquired legacy products. This means that we have a continued opportunity to either reinvest or realize these cost savings as we transition these legacy products onto our efficient CargoWise platform. Our sales and marketing expenses were down three points as a percentage of revenue to $19.8 million or 7% in first half '22. This reflects the ongoing cost reduction benefits brought by our efficiency and acquisition synergy program, as well as our targeted sales and marketing focused on the top 25 global freight forwarders and the top 200 global logistics providers. Our continued success in securing new large global rollouts and expanding new customer revenue in this half underlines the effectiveness of our targeted sales and marketing program. Our general and administration costs decreased from 19% as a percentage of revenue in first half '21 to 14% or $40 million in first half '22. This decrease was predominantly driven by the ongoing cost reduction benefits from the efficiency program I flagged earlier and underlines the success of the program in driving further margin expansion and operating leverage. Turning now to our R&D investment. You've heard us say on many occasions that we are a product-led technology company, and our focus is on building integrated software that enables our logistics customers to improve planning, productivity and control of their global operations. Our commercial model is designed to support ongoing investment in innovation and product development with a total of more than $625 million invested over the last 5 years as we continue to develop technology solutions that solve important pain points for our logistics customers and build out our competitive position. Therefore, through our continued R&D investment and new product development will continue to deliver long-term recurring revenue growth. On this slide, you see our continued investment in R&D. Whilst tight skilled labor markets prevailed in the half, temporarily slowing recruitment of new development talent, we made excellent progress in the continued alignment of acquisition development teams and leverage the significant pre-pandemic investment made in R&D resources to support our CargoWise development priorities. Our commitment to the development of our core CargoWise platform was evident in a 20% increase in R&D investment for the platform. This increase was mostly offset by an expected 23% reduction in R&D investment for the acquired products, reflecting our strategy to prioritize expansion of the CargoWise ecosystem and align the acquired teams to support CargoWise's development priorities. As a result, our overall R&D investment increased slightly by 1% net to $83.9 million in first half '22. Richard will explain our progress on our development priorities for CargoWise in further detail. Overall, this represents a reinvestment of 30% of our revenue in R&D, which is high compared to other SaaS peers and further emphasizes our product-led focus. Our investment in new internally developed software components is capitalized in line with applicable Australian accounting and international financial reporting standards. In first half '22, $38.8 million of our R&D investment was capitalized, reflecting our increased investment in the CargoWise development priorities, including the expansion of native customs, rates and land transport on the platform. As previously communicated, between 40% and 50% of our total R&D investment is capitalized each year, and the remainder, which relates to book fixes, maintenance and research is expensed. This half, our expensed R&D investment includes a project currently in the research phase. The project is expected to be capitalized once the research phase has been successfully completed. Moving on to our balance sheet. You can see on this slide how our strong balance sheet and liquidity provide a solid platform to fund future growth. As at the 31st of December 2021, we had $380.3 million in cash. a strong cash position, together with our undrawn 4-year debt facility of $225 million, provides a prudent level of liquidity with ample financial flexibility and headroom to fund growth opportunities. As we've said before, we always remain open to strategically significant acquisition opportunities that will accelerate our ability to expand the CargoWise ecosystem. Richard will explain more about our approach to product development and our acquisition program going forward in the strategy and outlook section. The 7% decrease in receivables can be explained by our focused collection efforts on reducing outstanding receivables and offsetting increases driven by revenue growth. The $27.9 million increase in our intangible assets to $932.4 million relates primarily to investment in new capitalized product development partially offset by amortization. Turning to our liabilities. The increase in current liabilities includes $8.3 million in tax refunds related to acquisition payments classified as an uncertain tax position. In share capital, you can see a $77.6 million increase in first half '22, reflecting new shares issued to our employee share trust the future vesting and for acquisition earn-out consideration. Our employee equity program is a key component of our policy to support staff retention and encourage long-term value creation across our workforce. Before I hand back to Richard, I'd like to talk briefly about our cash flow performance. In first half '22, our operating cash flows were $134.7 million, up 46% on first half '21 and a testament to the strength of our highly cash generative business model. An increased portion of our first half '22 operating cash flows, $44.5 million, was reinvested to support long-term growth initiatives to develop and expand our CargoWise product offering and build out our global infrastructure, including enhances the scalability and reliability of the CargoWise platform and provides capacity for future growth. Before I move on free cash flows, I draw your attention to the changes in our operating cash flow conversion rate which mainly reflect the timing of a significant annual payment made in the first half versus the second half in previous years. We, therefore, expect no impact to our FY '22 conversion rate. I also note that the noncash items and EBITDA increased by 7% due to an increase in share-based payments as we use equity to support employee retention. Our first half '22 free cash flow performance was strong at $90.3 million, increasing by 85% on first half '21. Our free cash flow conversion rate was 66%, up 11 percentage points from first half '21. In addition, our free cash flow margin of 32% was up 12 percentage points on first half '21, reflecting our improved operating cash flow. If you add up our revenue growth and our free cash flow margins, you can see how we are now at 50%, up from 36% in first half '21, comfortably above the rule and underlining our strong operating and cash performance in the half. To conclude, you can see that in addition to our strong profitability, we have a highly cash-generative operating model, which provides us with strong free cash flow for ongoing investment in our growth. I'll now hand back to Richard, who will provide you with an update on our strategic progress and the outlook for the business.
Richard White: Thank you, Andrew. WiseTech's strategic vision is to be the operating system for global logistics. To achieve this, our strategy driven by our people is focused on the 3Ps: product, penetration and profitability. Our customers operate in a highly complex dynamic competitive environment. CargoWise's competitive advantage is that it is an integrated global software solution that enhances visibility, productivity and capability, delivering advantages to customers and potential customers still on aging legacy systems. This is what enables us to attract new customers and to retain existing customers and increase their CargoWise usage. So let's now take a look at each of our strategic 3Ps in more detail. Product development is key to achieving our strategic vision. On this slide, you can see that our approach to product development is twofold. First and foremost, we invest in our own in-house product development and capabilities. Over the past five years, we have invested over $625 million in R&D and delivered more than 4,600 properties enhancements, with 53% of our people now focused on product development. In the first half '22, we continued our strong track record of R&D investment, investing $83.9 million and delivering 589 new product features and enhancements and continuing to progress our CargoWise development priorities. These include augmenting our technology lead in global customs and cross-border compliance, expanding our carglized functionalities across rates, e-commerce, land site logistics and transport management, broadening CargoWise's enterprise-wide capability and accessing a larger total addressable market with the development of neo. The second component of our product development strategy is our acquisition program, which enables us to fast track the extension of CargoWise functionalities and our geographic footprint. Since IPO in FY '16 to the end of FY '21, we completed 39 acquisitions. We are well progressed in integrating intellectual property from these acquisitions into the CargoWise ecosystem and aligning the acquisition teams to CargoWise's development priorities. Accordingly, we are now focused on the next strategic opportunities. Going forward, we will focus on both smaller tuck-in acquisitions and larger strategically significant acquisition opportunities. We are actively looking at and have executed on tuck-in acquisitions, which are typically smaller acquisitions that can quickly bring their team, technology and knowledge without major rewrites and rapidly add value to the CargoWise ecosystem. In the first half '22, two tuck-in acquisitions were completed by the company. These were Inobiz, which provides tools, designing and managing CargoWise connections to industry and between customers; and Hazmatica, which provides hazardous materials compliance and management capabilities. Both these acquisitions, including their staff, knowledge and technology stack are being integrated directly into the CargoWise ecosystem to provide benefits to the existing CargoWise customers. And as a result, the $0.7 million of revenue contribution is included in CargoWise revenue in the first half '22. We also have the balance sheet strength and funding options to execute larger strategically significant acquisition opportunities should they arise. We have a talented, successful and experienced team internally and we know our markets well, which gives us confidence as we continue to explore further growth opportunities. It is important to look at our product development approach holistically. Our in-house product development and our acquisition program are interconnected. They are designed to complement each other in accelerating the expansion of the CargoWise ecosystem by delivering greater product capability, increased market penetration and greater geographic coverage. That brings us to our next strategic, penetration. With fully digital and highly automated global logistics solutions still in very early stages, we have considerable scope for growth. Our approach is to target global rollout by the top 25 global freight forwarders and the top 200 global logistics providers, because they can fully leverage our global capabilities, and therefore, provide the greatest revenue growth potential. On this slide, you can see the progress we have made in securing global rollouts. We have achieved this through CargoWise customer contract commitments and by existing customers who are not on formal rollout agreements but are growing organically, adding new geographies and users as they go. What is of note, over the past 18 months, is the significant momentum we are seeing in global rollouts and new customer wins. As I mentioned at the start of the presentation, we secured two new global rollouts in the first half '22, FedEx and Access World, a total of putting many of the world's largest logistics providers. And we added Brink's Global Services post 31st of December 2021. We continue to have a strong pipeline of active and future opportunities. These global rollouts provide us with significant revenue growth opportunity. More than one-third of the 31% CAGR of our CargoWise recurring revenue over the past 5 years has been driven by large freight forwarder global rollouts. Our large global customers take years to roll up the CargoWise platform across their business units, adding new countries, adopting new modules and implementing our productivity tools over time. DHL, for example, took 4.5 years to rollout CargoWise across their entire Ocean and Air Freight business, and is one of the fastest rollouts by a freight forwarder of this size. In the appendices in today's presentation slides, we've included slides for our full year '21 results that show the contribution of our large global freight forwarder rollouts to CargoWise's recurring revenue growth. You can see from these slides the global rollout in production end of FY '21 have delivered compound annual revenue growth of 37% over the past 5 years. Of these, in production global rollouts, those being undertaken by the top 25 global freight forwarders, have generated a much higher CAGR of 46% over the past 5 years. So you can understand why our focus is on these big players. We also expect significant growth from global rollouts that are in the early stages of their rollout, which we categorize as contracted and in progress. At the end of FY '21, these early-stage rollouts have had less than 10% of their expected users live on CargoWise, yet have delivered 158% of compound annual revenue growth over the 2-year period from FY '19 to FY '21. So there is significant additional revenue to come from these over time. This brings us to our third P, profitability. In the first half '22, we continue to progress our organization-wide efficiency program to ensure appropriate allocation resources to support scalability and to enhance our operating leverage. This has involved reducing costs, extracting acquisition synergies and streamlining our processes and teams. As I noted at the start of the presentation, this program of work delivered a $19.7 million net benefit in the first half versus a net benefit of $1 million in the first half '21. Looking ahead, we expect to achieve a cost reduction run rate of approximately $45 million for FY '22, exceeding our previously announced target of approximately $40 million. This brings us to our full year '22 guidance. You will see in today's presentation a set of underlying assumptions upon which we have based our FY '22 guidance. We are providing guidance today on the basis that market conditions do not materially change. Noting, in particular, the changes in industrial production and/or international good flows may impact our guidance. Assuming there are no material changes to these assumptions and no unforeseen events that arise prior to June 30, 2022, we reaffirm that FY '22 total revenue growth guidance we provided at the full year results last year and restated at our AGM in November 2021. We expect 18% to 25% FY '22 total revenue growth, representing $600 million to $635 million, with CargoWise revenue expected to grow by approximately 30% to 40%, excluding foreign exchange. What I would draw your attention to, however, is that we expect this revenue growth to be skewed towards the second half of FY '22 in a more pronounced way than was the case in FY '21. In terms of FY '22 EBITDA, we have today upgraded our guidance from the 26% to 38% growth forecast provided at the time of our full year '21 results in August last year, and reaffirmed at our AGM in November to 33% to 43% growth, equating to $275 million to $295 million. To wrap up today, I'd reiterate my comments at the start of today's presentation. Our unique CargoWise offering, which we continue to expand and enhance through our in-house product development and our strategic acquisition program, is enabling us to drive momentum in our market penetration with both new global rollout signings and ongoing revenue growth from existing customers adding to that momentum. We are well placed to continue to benefit from the continuing M&A consolidation activity among global logistics operators and their increasing investment in replacing legacy systems with digital solutions. On this slide, you can see our strong track record of revenue, EBITA and EBITDA margin growth over the past 5 years, demonstrating our increasing operating leverage and the strength of our business model. Our strong balance sheet and robust cash generation provide us with significant financial firepower to fund our future growth. We remain focused on expanding the CargoWise ecosystem, delivering revenue growth, implementing efficiencies and extracting acquisition synergies to deliver revenue, profit and earnings per share growth, as well as increasing value for shareholders. Let's now open for questions.
Operator: [Operator Instructions] The first question comes from Lucy Huang from Bank of America. Please go ahead.
Lucy Huang: Thanks for taking questions. I have three. So firstly, in relation to your FY '22 guidance, you mentioned the strong second half to largely driven by economies opening up. I guess, do you have - what else is that depending, I guess, with confidence, are you seeing some acceleration in global rollouts coming into the second half or are there some contracts or volume contracts that are giving you that certainty? And then just -- maybe if I start off with that, then I'll follow on with some of the other questions.
Richard White: I might let Andrew take some of that question. But you've got to understand that our business does have some lumpy pieces and there are things that fall either accidentally or intentionally in written to the first or second half. Andrew, do you want to make some general comments?
Andrew Cartledge: No. Lucy, that's right. I think it comes down to what we talked about at the full year with the historic revenue growth that we showed you then at 31% compounded growth over the five years to FY '21. So there's lots of elements that fall in there. It's the large global freight forward rollouts as you indicated in your question, some of those step up periodically in different periods. We've obviously got a lot of new customers coming on to the platform. You would have seen in our first half growth rate that the new customer dollar growth rate is about twice what it was in the first half last year. Additionally, we've had a reasonable amount of customer paid product enhancements. They typically are landing in the second half versus the first half in the last couple of years. I think we expect to see that trend going forward. And then as well, you indicated in your question, the remark that Richard made about the economy is opening up and continuing to drive supply chain volumes as well.
Lucy Huang: Yes. Wonderful. That makes sense. And then just following on from that, I guess, in terms of the new contract wins that you won in FY '21 last year, just wondering if we've seen any of the customers indicate desire to accelerate any of those rollouts and bring them forward?
Richard White: Without speaking about any particular customers, Lucy, what generally happens is that a very large new customer coming on to the platform starts up fairly conservatively because this is a new experience for them. Often, they haven't seen a systems change in 20, 30 or more years. And when you've got the -- typically, there's a couple of pilot sites, and then we take a few of the larger commercial sites countries live. And it suddenly dawns on people that there's a lot to be gained by increasing the speed. So in almost every case, the larger customers tend to either meet or exceed their rollout plans. It's very rare that we have people pausing or slowing down because of complexity. No. I'll just give some reference that. At the beginning of COVID, we saw a number of customers decide early on to slow their plans. But within three or four months, they actually accelerated their plans very dramatically because once the work from home conditions became obvious and the CargoWise operates incredibly well in those remote work from home environments, everyone that's rolling out basically took a lead in and started pushing harder on getting them all that stuff. So I think it's a common phenomenon for customers to accelerate once they have gotten the first few steps done.
Lucy Huang: Wonderful. And just my last one. So R&D intensity is now about 30% of sales. So should we expect this level of intensity to be the new base moving forward in the business?
Richard White: Well, that's a great question. And I'd just like to point to the number of new product releases we did in the first half '22 at $589 million, as I recall, in the first half '21, that was $456 million, is a 29% increase in effect on the first half '21, and that comes from a number of drivers. One of them is that we've been redeploying people from the acquisitions into the core. And that's given us more strength, but hasn't changed the cost base. We've also been working very hard on our productivity capabilities within the company, rolling out education programs, implementing improvements to our pave productivity and visualization engine. And generally, squeezing everything we possibly can out of the processes and making sure that we're targeting high-value things and getting them delivered. And you can see that, that's the - what you describe as intensity, that spend is actually creating much more value than it used to in the past. So we have a strong capability to increase our staff levels. Obviously, it's a challenge in WiseTech talent, but that's a challenge that we've always had and will always continue to be strongly focused on. But because we have very strong development centers in China and in India, plus our really strong Australian team. We've got lots of options to grow, and some of those options have quite low costs. So I think 30% is a very good number. I doubt the target percentages, the target results, but it certainly comes to pass that because of our focus on efficiency, because of the redeployment of resources into the best possible place and at the best possible yield, we've been extracting very strong synergies at the same time, reducing cost but increasing productivity. That's a pretty powerful statement.
Operator: The next question is from Siraj Ahmed from Citi. Please go ahead.
Siraj Ahmed: Can I just follow up on the question on the revenue guidance? Just can you give us some more detail on what changed in terms of the guidance given August versus now? It does look like something has been pushed out in the second half. So wondering whether it's the product releases that you spoke about? Or is it -- or are you assuming some price increases in the second half as well?
Richard White: Andrew, do you want to take that?
Andrew Cartledge: Sure. Thanks, Richard. Siraj, look, not too much, to be fairly honest, I guess, is the point here. We're just slightly skewed now a little bit more to the second half than we were in FY '21, which was the original guidance that we've provided you back in August. So it's a number of factors, I guess, that are included in the that I just indicated on the last answer to Lucy. But nothing specific, Siraj.
Siraj Ahmed: Sure. And just as a follow-up to that. Can you just help so the $35 million range in terms of the guidance, how should we think about the top end versus the bottom end? What's driving those two ends?
Andrew Cartledge: It's just the pace of growth within the business. It will be whether new products land, it's whether we've got new customers coming online. It's really all of the things that drive our growth that you know about. It will be some of the customer paid product enhancements of those a while to work on and whether those actually finalize and close out before the end of the year or fall over into next year. It's obviously dependent upon the development of those projects.
Siraj Ahmed: And last one for me. Just regarding the EBITDA guidance, EBITDA margin guidance. Can you just -- how much of that additional cost investment was made in the first half? Just trying to understand how much of it is coming in the second half as an incremental.
Andrew Cartledge: I missed the first half of it question.
Siraj Ahmed: So you've guided to $55 million to $70 million of additional cost investments for the full year. How much of that actually came in, in the first half?
Andrew Cartledge: Look, we always expected that to ramp up a little bit faster in the second half of the year. And just simply you're adding people on a continual basis into the business. So it was always on a run rate through the year. I think you've seen that in the margin that we've produced here in the first half at 49%, and we've guided 46% to 47% for the full year.
Operator: The next question is from Elise Kennedy from Jarden. Please go ahead.
Elise Kennedy: Andrew. My first question is around neo. Can you give an update on any progress in that beta phase around demonetization? Mainly, is it tapping into a new customer set, getting more from the existing customers? Or are you leaning towards giving it away for free to drive adoption? And then my second question is just around those acquisitions. There seem to the key wait on what it was still a very good top line growth. I'm just wondering, having been less aggressive over the last few years on those acquisitions, how do we think about the performance of these going forward and when they will move on to that CargoWise revenue growth trajectory?
Richard White: Okay. Well, so first of all, neo is a long-term project. We've been pointing to that for some time. And I've made the very clear point that it's critically important for us to not get distracted by shiny objects and to focus on where we're really making enormous amounts of progress. That's the first thing. I think it's critically important that we continue to prosecute the program that we've got, which creates this CargoWise ecosystem. Now neo is going to be a very strong beneficiary to that ecosystem because there's a lot of shared capability between the CargoWise One capabilities, which are for the logistics companies, and neo, which is aimed at the customers of those customers, the so-called beneficial cargo owners. And Yes, there will be a free version of neo. And yes, we will be providing that through our customer base as effectively a full digital forwarding experience. But neo is a long-term project with many stages, and I'm most concerned to ensure that when we produce now, it is not just another product in that same space, but something which is deeply powerful, different and better. Whilst we continue to progress our core ecosystem delivery, neo is getting better there as well. But we are not in a hurry to monetize the impact, it's quite reverse. It's initial capability should be to expand the value of the CargoWise ecosystem and to give customers a full digital freight forwarder platform. Now as far as the acquisitions are concerned, we've done very well to bring a lots and lots of that IP back into the core system. And we've still got more to do. But it's very strongly progresses it as is. We've also, as you've seen, made significant changes by focusing a lot of the teams on the core product, and that's increased our throughput without increasing our cost. And this is a time when others are struggling with the talent, we have an excellent team with capabilities that stand in many parts of the ecosystem. And we continue to be successful in hiring. We've got strong retention. And we always brought those acquisitions to grow the CargoWise revenue, not by just converting their customers. Because typically there's a relatively small business comparative to CargoWise One to grow the powerful ecosystem that enables us to win very large customers. Its orders that make you a difference between winning new customers on CargoWise One and converting our customer base from a small acquisition. And whilst they will convert, we won't get all of them, but they will convert. But that is not going to be a particularly material or significant aspect of revenue growth. What is really significant is making the powerful ecosystem work for us. Now as the question of those acquisitions, we obviously completed the main branch of that powerful program from '16 to '21. There is always an ability to acquire, particularly in these tuck-in areas, they're very compatible with rapid growth of the CargoWise ecosystem. And obviously, we've talked about looking for carefully considering, I should say, strategically significant acquisition opportunities. But there is still an opportunity to tweak what we did in FY '16 to '21 with a couple of small additional pieces that are -- were perhaps not in view at that time but still would make a material efforts to one of our programs, such as the customs programs and so forth. I think acquisitions are just a tool set that we use to become very adept at integration, to become very adept of understanding where the synergies are and getting people across the line on how to make those synergies work. And because the CargoWise was modeled and our listed culture is so pronounced in this space, I think we're very confident that acquisitions can be much more quickly absorbed into the company and synergies can be extracted much more quickly. So that learning process is through '16 to '21. We're already sophisticated when we started that, but I think we've now kind of level and capability to make acquisitions really powerful.
Operator: You next question is from Roger Samuel from Jefferies. Please go ahead.
Roger Samuel: I've got two questions. First one, just on your guidance. It looks like that implies a significant step-up in cost given that if we take the top end of your guidance range, and this half, you reported a fantastic result, it implies that, yes, there's a significant step-up in costs or in other words, the EBITDA margin is going down to about 44% in the second half FY '22. Should we expect that sort of cost level or margin into next year, FY '23 and '24 as well? Second question is on price increases. It looks like in this result, you increased prices by about -- and I'm just taking the $11 million divided by the $150 million for CargoWise revenue in the prior cost learning period. And I'm just wondering if we should expect that level of price increases every year going forward.
Andrew Cartledge: Yes. I'll take the guidance one, and Richard, you can talk about the price change maybe. So look, Roger, I think thanks for the question on the guidance. Yes, we indicated that our FY '21 results when we gave you the initial guidance for FY '22 that we would have a step-up in our cost profile, which was going to be slightly offset by the cost reduction efforts that we kicked off in FY '20, which are really delivering quite a lot of benefits now in FY '22. We've slightly trimmed our expectation for those additional cost investment versus the initial guidance, but we still got $55 million to $70 million for the full year. And this really is investment in the business to support that long-term revenue growth, which will continue to grow and drive margin expansion. In terms of where we come out for FY '23, we're not providing guidance that far out. So it'll be a little bit ahead of myself to give you any information on that at the moment. But yes, we are expecting to continue that investment in our cost base here in the second half of the year, as well as continue to drive some of the efficiencies that we've already indicated, and you would have seen today, we've stepped up the target for our cost efficiency target from $40 million run rate for the year to $45 million for the year. I might just comment on the second question as well on the price, and then we -- I'll hand it over to Richard, if you must comment additionally. So the price change that we did last year that we called out, Roger, was a specific one-off price change related to us generating a return on investment for some of the things that we've been working on to improve the way that we deliver the product to our customers. And those centered around really investments in R&D in terms of the way that the product was delivered. It was investment in our data centers to give a lot more efficiency to the way that customers were able to do that. And then on top of that, obviously, cybersecurity is a key investment point. And we've also seen some increase in external software licenses from some of our third-party suppliers, which we really needed to pass on to our customers. So that price change was put through in November 2020. In the first half of last year, we indicated that it delivered about a $5.7 million benefit to us. In the second half, obviously, we got a full half -- in second half '21, that's about $16 million we indicated at the time and the residual benefit that we've got dropping into the first half '22 is about $11 million. So you can see that that's at about $33 million or so of top line impact for us over the year -- over the 12-month period. In addition to that, we do put through normal really inflationary level price increases to ensure that we're making a return on all the other product investment that we made. And we talked about 30% of revenue being reinvested into our product. That adds all of those new products and features. Richard indicated 589 new products and features that were added to the platform in the first half. And part of that just normal inflationary price increase goes to being able to generate a return on that investment. Did that answer your question?
Richard White: Like maybe just be one more thing to that, actually, because I think when you talk about price increases, people think it's -- we're putting up the price or it's an inflationary components. But actually, we spend an enormous amount of money on R&D. And if you look at the system that we provide, the very largest aspect of that investment development is into our forwarding and logistics module capabilities and the very next one is into those customers' modules. And those investments are returning dramatic productivity improvements to our customers. And we've always believed that it is reasonable for us to invest substantially and then ask a return for that investment. Now the world isn't a simple place. And not everybody thinks of those things as improvements driven by investment. But certainly, the majority of our customers understand -- the vast majority of our customers understand that when we are investing, we are actually giving them something at great value, and there has to be some return on that investment, which you could say it's a price increase. But it's actually a value increase as well. And we continue to do that across the platform. And I'd just point you to the incredibly low attrition rate of our customers right across the platform, the attrition rate has been under 1% for using years and years. And that's because we're creating values. The price increases that we do put through, they are reasonable, they are relatively pretty consistent, some of them relate to underlying costs, as Andrew pointed to, some of them relate to inflation and some of them relate to investments that we're making that substantially advantage our customers.
Andrew Cartledge: Yes. And also, what you pointed out before, Richard, that some of the product announcements was actually requested by the customers, right? So you're really adding value to them.
Operator: The question is from Bob Chen from JPMorgan. Please go ahead.
Bob Chen: Just a couple of questions for me. I mean, just in terms of the penetration with some of your global rollouts. How do you sort of measure the progress of some of these rollouts that you currently have? And maybe just some comments on a couple of the new signings recently as well with Access World and Brink's? And how big are those opportunities compared to some of your existing ones?
Richard White: Andrew, do you want to have a crack at the first part?
Andrew Cartledge: Yes, Bob. Look, on the new wins there, one indicator that we gave you at the end of the year was estimated number of users that we were anticipating to have from those contracted and in-progress rollouts. And at the end of the year, we indicated that we're about 10% of the expected users. It's not a hard and fast number in terms of the number of users, but they bring on, but we're sort of in that ballpark. So we measure progress there. We also look at customers importantly that are acquiring some of their competitors. And what that allows them to do is obviously, as we talked about before, roll those acquisitions onto the CargoWise platform to get the synergies and the benefits as they integrate those businesses. And we have a number of customers that are in the process of integrating M&A at the moment. And we work with them on their plans for how many users and their sites and how they're going to roll on. So we look at that with our customers and we measure it. Plus some of those customers do tend to be on what we call temporary transitional pricing. And we know when their revenue changes come in their initial rollout periods from those temporary transitional pricing. Richard, over to you.
Richard White: Yes. I'd like to talk about this expansion of the platform. And it is a very real effect. However, I think if you look past into the past and you look at the implementations that we've done, and we've done many, many implementations now. There is a very consistent theme that customers spend the vast majority of the first few years, perhaps the first four or five years, simply getting their core legacy system out of the business and putting targets pace. And there's very little appetite or even bandwidth for doing anything other than that in those first four or five years. Once that's done, you get a very substantial opportunity over time to start placing other components to the system into live production. But there are some industry changes that are required. So the industry used to be a very disconnected industry with each operating geography running its own P&L and operating quite independently. And therefore, the decisions for local systems -- the global system clearly was a global system, and therefore, was the decision of head office. But the operating components outside of that local tracking, local warehousing and even local customers have traditionally been the decision of local managers in each country. And there's a worldwide change happening in that space where those decisions are now starting to be seen strongly. We've seen as the decision of the head office because the impact on the global business is vastly more material for those customers than what the local business has perceived freedom of choice in choosing a local platform, often those local platforms are small. They relate to people that they know in the industry. And they don't fit very well in a global model where today the industry is requiring everybody to be lined up and synchronized so that you can get the freight moving and doesn't jam. So there is a strong trend towards that, but that's a trend that takes time. It does take a reasonable time to move control out of local P&Ls and into the global P&L. That's generally what's happening.
Bob Chen: All right. Great. And maybe just a question on sort of the acquired revenue part of the business given you're sort of redeploying it was acquired costs onto the CargoWise One platform. I mean, can we expect a sharper decline in some of that acquired revenue as maybe some of those customers move over to CargoWise?
Richard White: I don't think that's a practical view because even though we have been expecting these acquisition synergies, we have actually done quite a lot of work on gaining value from those platforms as well. And whilst I don't expect them to grow strongly, I think the proper answer when you look at history of [indiscernible] revenue is quite sticky and then will probably not shrink particularly. There are some small areas of the business where we've exited the legacy platforms completely. But these are quite small and nonmaterial. And in any part of the business where the platform is sustainable and it's in maintenance mode, we tend to reduce the cost dramatically, but the revenues tend to be quite sticky. Just one more -- just one point in that. It is not our goal to spend a lot of time and effort converting lots of small customers quickly in order to sort of force them onto the platform and move the revenue. Our goal is to target very large customers, global customers with CargoWise One and allow the transition of those smaller customers as and when that is an appropriate thing for them and for us. It's an easy thing to leave, and it's an easy thing to move at some time in the future.
Andrew Cartledge: Richard, I might just add to that as well. And Roger, it's a good question. Bob, sorry, it's a good question. The guidance for this year is that revenue from our acquired businesses is going to be essentially flat this year. So just to give you a sense of what's in the guidance that we've provided.
Bob Chen: And then just finally, in terms of that pipeline of further client wins on global rollouts, like what's that looking like? I mean, it sounds like the industry is trending towards adoption of cloud software in this space. Are you having more positive discussions now?
Richard White: I think let's talk about the opportunity pipeline. It's strong and it's got a lot of future potential. We're not going to talk about individual issues in the opportunity pipeline clearly. But I'm confident that we're continuing the momentum that you've seen in the last couple of years.
Operator: [Operator Instructions] The next question is from Paul Mason from E&P. Please go ahead.
Paul Mason: I've got three. So the first one, I was just hoping -- on your Slide 30, which is after the core part of the presentation, you've got a number saying that top 300 customers alluded 75% of CargoWise revenue with the squiggly line. And that number used to be 80% with the squiggly line again. So obviously, there's rounding there. But could you sort of reconcile that? Because that seems to imply that your ex-300 customers grew wildly in the period, but your messaging is very clear around like focus on rollout and stuff. And you've obviously won. So just sort of wanting to reconcile those numbers and what's happened there?
Richard White: I can make comment, Andrew, if would you like to call?
Andrew Cartledge: You go ahead, Richard.
Richard White: So we obviously -- we did put a significant one-off price rise through related to infrastructure. But that put a floor cost on some of the things that we did this is while ago now. And we -- that was -- we were holding back on those price rises for some time. But with the onset of the sort of massive increases in cybersecurity and the complexities around hosting and scaling, this did affect smaller customers who were on the platform. And it did set up sort of a floor costs for hosting the platform. So it was mainly the CargoWise cloud, customers that paid for that, and it was a significant piece of revenue that's just slightly tilted that number that you're talking about. Growth is about 7% -- yes, go ahead.
Andrew Cartledge: Paul, I might add to that. I mean, it's around about 75%. It's probably just slightly over 75% here. It was around about 80%. I don't think there's any major story here. It's just sort of rounding in the numbers and kind of change period to period. We're talking about a half year here versus a full-year period last year, and that's probably what you've seen previously.
Paul Mason: The second one, I just wanted to understand in your guidance and how you're hedging relates to that a bit. Because you've got this AUD USD assumption of 0.75 that was presumably in the money already, if not for a material hedge. And you've got the same assumption for the half year that you've just reported where it averaged a bit less than that. So is that like your hedged rate that you're giving us? Or is that actually just a forecast where you're currently in the money? Because all the other numbers look like they're sort of mark-to-market to a degree.
Andrew Cartledge: Yes. So let's talk about the U.S. dollar specifically. The blended rate that we had hedged and unhedged activity in the first half came through at $0.75. As we indicated in the materials today when we gave you the guidance at the beginning of the first half. And subsequent to that, we went out and hedged more of our first half exposure and our second half exposure. So now our blended rate we anticipate for the second half between hedged and unhedged will be $0.75 as well. So it's a blended rate, Paul, in the assumption page on Page 24.
Paul Mason: Okay. And so just if it ends up averaging $0.72 in sort of the data that we can extract from our data systems and whatnot, that won't mean that you'll outperform the assumption that because of hedging. Is that the way we should take that.
Andrew Cartledge: That's correct. So our hedge rate is slightly above the current spot rate, and we hedged close to the guidance that we gave you at FY '21 results, which was around about $0.74, $0.75 from memory.
Paul Mason: Just the last one is on sales and marketing costs. I mean, you guys have got an incredibly high return on sales and marketing investment at this point, just like 7% of sales. I think from a couple of results ago when you first sort of started heading south of double digits, there were some comments maybe you were probably going a longer-term target of like 12%. Has that changed with your strategy around focusing on larger freight forwarder? And is this like actually a pretty normal level in terms of how your business plans are set? Or is there going to be some sort of reversion over time on that number?
Richard White: I'll get that. So I think the first aspect of this is that part of it reflects a strategy change caused by observing what was being done in the adjacencies. We were -- I think all founders and many of the business people that the work adjacencies has actually thought that more marketing spend would get more sales. It's proven not to be true. The adjacency is a very sticky revenue, but then growth. And in stopping, spending a lot of time in sales and marketing, adjacencies has produced -- has stopped reduced the revenue and equally, just like when we spent more money on money, it didn't actually increase the revenue either. And so we've obviously focused ourselves on revenue growth and sales and marketing otherwise. And that's done with a very different process. We spend a lot of time on education in the industry, and this creates an awareness of our product and our capabilities. We spent a lot of time with customer testimonials and with stories from customers about how it succeeded. And we do very little of the normal marketing that people do. We measure the effectiveness in our marketing, and you can see it through sales and you can see it through customer wins and you can see it through rollouts. So it's a -- and we're selling to C-suite executives. We're not selling to thousands of individuals. We're selling to very key people. The marketing is focused, very targeted. The campaigns are strong, they're long, they're deep. But I'm very convinced based on the numbers and based on the evidence, sort of cause and effect approach we're taking, this is much more successful, but at a much lower price.
Operator: Thank you. There are no further questions at this time. I'll now hand back to Mr. White for closing remarks.
Richard White: Okay. Well, thank you. Thank you, everybody, for attending. It was great to talk to you all. And Andrew and I and the team will keep working on the company and try to make it bigger, better and greater. So thank you, everybody. Speak to you soon.
Andrew Cartledge: Thanks.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.